Operator: Ladies and gentlemen, thank you for standing for standby and welcome to Saputo Incorporated year-end financial results conference call. During the presentation, all participants will be in a listen-only mode, after which we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Wednesday, June 9th, 2010. It is now my pleasure to introduce Mr. Lino Saputo, Jr. Please go ahead, sir.
Lino Saputo, Jr.: Thank you. (inaudible).
Unidentified Company Speaker: Good afternoon and thank you for joining us today. A press release detailing our 2010 fourth quarter and fiscal results was issued earlier today and is available as we speak on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. I would like to specify that our Internet listeners, as well as journalists are on a listen-only mode. Members of the media are invited to ask their questions by phone at the end of this call. Before we proceed, I remind you that certain information that will be discussed during this call may constitute forward-looking information within the meaning of securities laws. Caution should be used in the interpretation of such information since management has made certain assumptions, including, among others, assumptions regarding projected revenues and expenses, and references to objectives and strategies that are subject to a number of risks and uncertainties which could cause actual results to differ materially from those presented in such forward-looking information. For more information on these risks and uncertainties, you should refer to our most recent Annual Report that is available on SEDAR. Any forward-looking information discussed during this call is based on management's current reasonable estimates and expectations, and we do not undertake to update this information, except as required by law. The speakers today are Mr. Louis-Philippe Carrière, Executive Vice President, Finance and Administration and Mr. Lino Saputo, Jr., President and Chief Executive Officer. After a brief presentation, we will conclude the call with your questions. Louis-Philippe will now start the conference, followed by Lino Jr.
Louis-Philippe Carrière: Thank you, Karine [ph] and good afternoon. Before I comment on our fiscal 2010 results, I will briefly cover some of our results for the fourth quarter. Net earnings for the quarter ended March 31, 2010 totaled 99.1 million Canadian dollars or 0.48 Canadian dollars basic per share, an increase of 29.9 million Canadian dollars or 42.2% compared to the same quarter of last fiscal year. EBITDA for the quarter totaled 175.5 million Canadian dollars, a 33.6 million Canadian dollars or a 23.7% increase compared to the same period of last fiscal year. EBITDA for our Canada, Europe and Argentina Dairy Products sector increased by approximately 20 million Canadian dollars or 19.7% to 117.7 million Canadian dollars, mainly due to operational efficiencies, a more favorable dairy ingredients market, and improved results from our Argentinean operations. The inclusion of a 3.4 million Canadian dollars rationalization charge in connection with the recently announced closure of our Brampton, Ontario fluid plant and the consolidation of our Toronto, Ontario distribution activities decreased EBITDA for the quarter compared to the same one last fiscal year. EBITDA for the USA Dairy Products sector increased by approximately 16 million Canadian dollars or 41.2% in the current quarter compared to the same quarter of fiscal 2009. The sector benefitted from initiatives undertaken in prior and current fiscal years, such as improved operational efficiencies, lower ingredient and other costs, and inclusion of the F&A Dairy acquisition. An increase in the average block market per pound of cheese positively affected the absorption of the fixed costs and also other favorable impact on the realization of inventories in the fourth quarter of fiscal 2010 as compared to the same quarter of last fiscal year. Also, the sector experienced a more favorable dairy ingredients market. These increases were partially offset by a less favorable relationship between the average block market per pound of cheese and the cost of milk as raw material compared to the same quarter last fiscal year. Strengthening of the Canadian dollar during the quarter eroded approximately 11 million Canadian dollars in this fiscal year's EBITDA. EBITDA for our Grocery Products sector decreased by approximately 2 million Canadian dollars for the fourth quarter in comparison to the same one last fiscal year. A rationalization charge of approximately 3 million Canadian dollars in relation to the restructuring of the sector’s distribution network in Ontario offset the benefits derived from the initiatives implemented throughout the year. Revenues for the fourth quarter totaled 1.384 billion Canadian dollars, a decrease of 5.2% compared to the 1.460 billion Canadian dollars for the same quarter last fiscal year. The decrease is mainly attributed to slightly lower sales volume in all sectors, as well as the strengthening of the Canadian dollar. Now, I would like to outline some of our results for the year-end. For the fiscal year-end March 31st, 2010, net earnings totaled 382.7 million Canadian dollars or 1.85 Canadian dollars basic per share, a 37.2% increase in comparison to 278.9 million Canadian dollars or 1.35 Canadian dollars per share in last fiscal year. Consolidated revenues totaled 5.811 billion Canadian dollars, an increase of 0.3% on the 5.793 billion Canadian dollars for the last fiscal year. Consolidated EBITDA amounted to 692.1 million Canadian dollars, an increase of 144.3 million Canadian dollars or 26.3% compared to last fiscal year. The CEA Dairy Products sector increased EBITDA by 79 million Canadian dollars or 20.8%, while the USA Dairy Products sector's EBITDA increased by 66 million Canadian dollars or 43.4% over last fiscal year. The Grocery Products sector's EBITDA remained almost the same. Cash flows generated by operating activities amounted to 583.6 million Canadian dollars compared to 467.3 million Canadian dollars for last fiscal year. In fiscal 2010, bank loans and long-term debt were reduced by 314.5 million Canadian dollars. The company paid 119 million Canadian dollars in dividends, issued shares for a cash consideration of 26 million Canadian dollars as part of the stock option plan, and repurchased 38.1 million Canadian dollars of share capital as part of the Normal Course Issuer Bid. The Board of Directors declared a dividend of 0.145 Canadian dollars payable on July 23, 2010 to common shareholders of record on July 12, 2010. Lino, Jr. will now present our outlook for the next few months.
Lino Saputo, Jr.: Thank you, LP, and good afternoon to you all. As a result of our ongoing efforts, fiscal 2010 was a successful year for Saputo and we are very pleased with our results. The improved results in both the CEA and U.S. Dairy products sectors, as well as initiatives undertaken in the Bakery Division are examples of our commitment to growth and our dedication to improve operating efficiency. Allow me now to provide you my perspective of the coming months on a divisional basis. In Canada, we will continue to invest in CapEx projects, geared toward the growing specialty cheese category, thereby increasing capacity in our manufacturing facilities. As well, we will implement our recently announced plan to relocate our Brampton milk and cream production to other facilities in addition to consolidating distribution in the Greater Toronto Area within a newer, larger distribution center. These measures were announced on March 30th, 2010 and should be completed by the fall of this year. These initiatives will allow us to further capitalize on the acquisition of Neilson Dairy. In Europe, we anticipate a challenging year. Obtaining milk supply at prices competitive with the selling price of cheese will remain a priority. We intend to continue to rebuild lost volume and strive to be more efficient by continuously improving our manufacturing facilities. In Argentina, we will continue to seek volume growth, especially in the domestic market. Our main challenge will be to navigate through the increasing cost of milk as raw material, while remaining competitive with the selling price in the export market. In the Dairy Products Division USA, we will pursue the implementation of numerous strategic capital projects that began in 2009 for the former Alto plants, as well as the newly acquired F&A Dairy facility as defined in the previous fiscal year. These projects should be completed in the first half of fiscal 2011. These undertakings should allow us to increase our production capacity as we grow organically and improve our operational efficiencies. We will also pursue our marketing efforts supporting leading brands. In our Bakery Division, we will continue to review different aspects of our operations and focus on further plant automation in the coming fiscal year. We should complete the integration of the distribution channels for Ontario and Western regions by early fiscal 2011. We will also continue to expand our product offering to satisfy consumers' needs and we will maintain our focus on brand support. As is common practice for Saputo, we will continue to review our activities in all our divisions to improve operational efficiencies and decrease operating costs. In fiscal 2010, we faced the economic downturn head-on and overcame many difficulties. We will draw from this inspiration to keep on finding new ways to optimize our activities to create value and to improve overall efficiencies. While we do this, we will preserve our sound approach and will pursue our objectives in a responsible and a strategic manner to produce high-quality products as we continue to grow both internally and through acquisitions. And finally, we will stay dedicated to our values as we pursue our quest for success. On this, I thank you for your time and we will now proceed to answer your questions.
Operator: Thank you. (Operator Instructions) Our first question is from the line of Irene Nattel from RBC. You may proceed.
Irene Nattel – RBC: Thanks and good afternoon, everyone.
Lino Saputo, Jr.: Hello, Irene.
Irene Nattel – RBC: I was wondering if you could provide a little bit more color on the volume trends, both in Canada and the U.S., whether what you are seeing in terms of your core business, whether all of the volume weakness that you are – or the slightly lower volumes that you referred to are a reflection of product rationalization or SKU rationalization.
Lino Saputo, Jr.: Well, let me take that answer in a country-by-country basis and I will give you a little bit of perspective of what we are seeing out there. Of course, we've indicated many times before that the Canadian market is quite stable. With respect to the commodity cheese business, slight decreases in volume, but on the upside, we are looking at value-added products; fine cheeses and Italian specialty cheeses, we are seeing some growth there. But by and large, no real material impact in terms of overall product gain or product losses. The same thing can be said on the fluid side. When you look at traditional commodity white milk, not a whole lot of growth there. In fact, you have a very competitive environment. However, through the value-added line of products, the flavored milks, we've seen some pretty good growth. So there has been some pretty good increase on the more specialty oriented, value-added products, not so much growth on commodity products. If I look at our overall volume in Argentina, of course it's heavily dependent upon the milk production in that country. We've had some very good volume growth domestically, albeit, we've lost some volume on the export side. But generally, on an overall basis, we are pretty stable and we follow the trends within Argentina. So typically, if milk is growing, so too is our capacity and if milk is declining, our capacity will decline as well. Germany and the U.K., not a whole lot of impact versus the previous year in terms of overall volume. And again, there too, we have to follow milk availability within those countries. And in the U.S., pretty well stabile market. Although we are seeing some shifts between food service ingredient in retail, overall volume has not really been impacted, other than the – as you indicated, the SKU rationalization with us moving away from pressed type cheeses or 640-pound blocks after the Alto acquisition.
Irene Nattel – RBC: That's great. And can you talk a little bit about where you stand right now in terms of – in terms of Alto and F&A?
Lino Saputo, Jr.: Well, both of those acquisitions are adding value for us with respect to our U.S. footprint. Of course, the Alto acquisition is a little bit more advanced than the F&A because it was done one year prior to the F&A acquisition. The only thing that's left for us to complete would be byproducts capacity upgrades. With respect to the cheese make end of it, with – in terms of technology and equipment, that's pretty well completed. F&A, by the end of this fiscal year or the fall of this fiscal year, we should have all of that completed.
Irene Nattel – RBC: So that means you are ready for another acquisition?
Lino Saputo, Jr.: We are always ready for another acquisition and we've said this before. We normally have two or three files on our table that we continuously look at. We need to make sure that we continue to be responsible as we look at price and strategic value that we provide to those assets, but I can tell you that from a human resource perspective, our team is ready to take on other acquisitions.
Irene Nattel – RBC: That's great. Thanks, Lino.
Lino Saputo, Jr.: Thank you.
Operator: Our next question is from the line of Michael Van Aelst from TD Newcrest. You may proceed.
Michael Van Aelst – TD Newcrest: Hi, good afternoon.
Lino Saputo, Jr.: Hey, Michael.
Michael Van Aelst – TD Newcrest: Just to start off by following up on the U.S. volume trends, you said that there was a bit of mix shift. I would assume it's food service is starting to come back. I mean, there seems to be a lot of indications that mozzarella demand is very strong right now. But we are not seeing it in your numbers necessarily. Is that – where is the disconnect?
Lino Saputo, Jr.: Well, if you look at the shifts between food service and retail, it's almost like a pendulum. So typically, when one is coming back, the other one is sort of falling off. And so if you look at our overall consolidated numbers, not a big impact, but if you recall, when the economic crisis hit, we indicated that there were bigger volume to the sales at the retail level, which also include mozzarella, less on the food service. Well, now the pendulum is actually starting to turn back the other way.
Michael Van Aelst – TD Newcrest: Okay. So demand for mozzarella is not necessarily up substantially like some of the commercial disappearance numbers would suggest. It's more just – it's not capturing, I guess, the retail drop is what you are saying?
Lino Saputo, Jr.: What I – yes. This is what I'm saying from our perspective, from what we are seeing and I'm not sure what kind of numbers you are referring to and what you are looking at. There has been an incredible push. I know at the Pizzeria levels for promotions. The big guys are out there promoting their products and of course, there is more volume that's being sold in those channels. But the flipside for us, what we are seeing, is that the retail is less strong.
Michael Van Aelst – TD Newcrest: On the pizza side, I know you are – got greater exposure to the mom & pop pizzerias than some of the bigger chains, although you do have some chains. The big promotions that are going on and the big same-store sales numbers that we are seeing by some of the larger chains that are snapping back from last year, does that help – does that hurt you in that it's taking away from some of the mom & pops or is that an indication of what's going on in the pizza industry in general?
Lino Saputo, Jr.: It doesn't necessarily hurt us. And again, through the last two acquisitions we made in the U.S., specifically Land O'Lakes and Alto, we have, I guess, balanced our overall sales away from mom & pops, not that we lost that business, but in terms of overall percentage, we are less skewed on the mom & pop. So any movement that we see on the chain-type business will have an impact – will feel the impact of that, whether that would be up or down.
Michael Van Aelst – TD Newcrest: Okay. Looking at Canada, your margins were quite strong. Actually, very strong I would say. How much of that is attributable to the ingredient price increases that seemed to kick in, I would guess, for the first time this quarter in Canada and how much of it is the other factors?
Lino Saputo, Jr.: Canada is less impacted by the byproducts markets. Again, the Canadian market is somewhat close to the rest of the world. A lot of the improvements we've seen in the Canadian business have really come from internal initiatives, things that we have implemented whether that would be technology or whether that would be, in some cases, not in all cases, but some rationalization that we had within our system.
Michael Van Aelst – TD Newcrest: So the percentage margin that we are looking at in Canada is – we should assume that's pretty close to sustainable?
Lino Saputo, Jr.: I would say so, yes.
Michael Van Aelst – TD Newcrest: Okay, very good. And I guess just one last question. Your depreciation jumped-in in the fourth quarter and it – even though the currency was – would have suggested it could have – it would have suggested it could go down a bit or at least stay flatter. Is that a year-end adjustment or is that something again that's sustainable going forward?
Louis-Philippe Carrière: Adjustment and some adjustment in relation to the announced closure of Brampton and the consolidation of the Toronto, Ontario distribution network.
Michael Van Aelst – TD Newcrest: So when you – the charge that you took is – was part of EBITDA though, right? So anything that's in the depreciation would be additional in terms of accelerated write-offs?
Louis-Philippe Carrière: You are right, yes.
Michael Van Aelst – TD Newcrest: Okay. Can you quantify that amount?
Louis-Philippe Carrière: Oh, boy. I'll tell you just later.
Michael Van Aelst – TD Newcrest: All right then.
Louis-Philippe Carrière: Yes.
Michael Van Aelst – TD Newcrest: All right. Thanks.
Operator: Our next question is from the line of Jim Durran, National Bank Financial. You may proceed.
Jim Durran – National Bank Financial: Good afternoon. In the United States, like last year, you did realize some significant efficiency improvements in there for cost savings. What is your sense of the next fiscal year, like could – should we be expecting something of a similar magnitude?
Lino Saputo, Jr.: Well, you know, a lot of the bigger projects have been completed. If you think back to where we were three years ago, fiscal years, we had just acquired Land O'Lakes and then there was the Alto following that and then F&A following that. So we've had three consecutive years of acquisitions and every single one of those acquisitions brought something to the table with respect to opportunities for us to improve margins. I'm not saying that that's not possible going forward; we always look for new opportunities. But I would say the bulk of those initiatives have been completed.
Jim Durran – National Bank Financial: And I don't know if you can do this for us, but just in terms of your outlook for cheese pricing, there is still fairly significant excess inventories in the United States. Do you feel that the cheese price is about right where it is right now? What's your outlook?
Lino Saputo, Jr.: Yes, I would think so. This is probably one of the weakest volume periods in our year. I'm talking about an industry. Typically, if you look at some of the higher periods will be back to school, which typically starts in the month of August as you fill up the pipeline and in the holidays, typically starting in October/November. So I would say a block price sitting somewhere around 1.36 Canadian dollars or so makes a lot of sense for this time of the year. All of the experts, or most of the experts in the industry, are indicating an average 1.50 Canadian dollars, 1.55 Canadian dollars, which I believe, it could get back up there.
Jim Durran – National Bank Financial: Just looking at the excess inventory, it looks like there is about 200 million pounds of it sitting in the United States. Like is that a new normal now or do you feel that the industry needs to get that level down and we are really just waiting for a net increase in volume as the economy improves?
Lino Saputo, Jr.: Yes, in the last two or three years and all the volatility, I have no idea what normal is anymore. The only thing that we can do is we can manage through this volatility and manage our own inventories and be responsible with our cost approach and our selling price approach. Again, the markets will continue to be volatile. We will see some heavy swings up and we will see heavy swings down. I think that we've got the right tools in place and I think we have the personnel in place to be able to navigate through those waters and I'm very comfortable with the platform that we are sitting on.
Jim Durran – National Bank Financial: Well, congratulations to you all. Good quarter.
Lino Saputo, Jr.: Thank you.
Operator: Our next question is from the line of Ms. Candice Williams from Canaccord Genuity. You may proceed.
Candice Williams – Canaccord Genuity: Thank you. Just a quick question. You touched on your own inventories and I was wondering if you could let us know why are they down year-over-year, because we see cheese, whey, and milk prices all higher year-over-year. I understand the U.S. dollar weakness, but are there lower volumes in there or what would be bringing your inventory level down?
Lino Saputo, Jr.: Well, the inventory levels, typically, if I look at our Canadian operations, look at the opportunity for us to be able to liquidate some inventory with the changing of the regulations, that was one element. And in the U.S., it's really better management of our inventories, not to sit on too much of that especially when the markets are as high as they were and in expectation of the markets coming back down. So it's really inventory management.
Louis-Philippe Carrière: And over and above the – as we were pointing, the FX certainly have an impact when you compare to last year to this year.
Candice Williams – Canaccord Genuity: Okay.
Louis-Philippe Carrière: Increasing the value of the inventory in the U.S.
Candice Williams – Canaccord Genuity: Okay. And then in Argentina, you spoke to lost export volumes. Is that a matter of less competitive pricing?
Lino Saputo, Jr.: No, it's largely related to the pool of milk that we have access to and the – and channeling that milk into the categories of products that will have the best return generation for us. And so we are not abandoning the international markets, but the domestic markets in Argentina have been quite strong and favorable for us and so, it's a question of shifting production capacity to those categories of products.
Candice Williams – Canaccord Genuity: Okay. And with the international pricing so strong, how easily are you able to switch that if you see more opportunity on the export side?
Lino Saputo, Jr.: Well, we have built our plants, and if you recall, three fiscal years ago or so. We indicated CapEx allocation for Argentina to provide more flexibility. Today, we do have that flexibility to be able to convert that fluid milk into those products for either the international market or the domestic market. So we've got quite a bit of built-in flexibility.
Candice Williams – Canaccord Genuity: Okay. And one final question, if I may. Just on trade regulations, the Trans-Pacific partnership sort of was in the news a couple of months ago and then seems to have died. Is there anything new on that or has that just basically died once –?
Lino Saputo, Jr.: Yes, it's – you are referring to the challenge we have?
Candice Williams – Canaccord Genuity: No. The U.S.'s potential negotiations potential negotiations for free trade with New Zealand, et cetera.
Lino Saputo, Jr.: Typically – I mean, what – through the different dairy associations that we have, they are looking for increased access to different markets. One of the things that we follow mostly is WTO, which is the World Trade Organization negotiation and on that note, there hasn't been a whole lot of development. On the free trade side, I know there's things going on between Asia and Australia. Outside of that, there is no real initiative that I'm detecting that would have any impact on our operations.
Candice Williams – Canaccord Genuity: Perfect. Thank you.
Lino Saputo, Jr.: All right.
Operator: Our next question from the line of Peter Sklar from BMO. You may proceed.
Peter Sklar – BMO: Lino, on this trade dispute between China and the U.S. regarding China's importation of U.S. dairy products, I understand that they are only accepting imports, it's related to some technical issue called a health certificate. Not quite sure what it is, but my understanding is they are only accepting dairy products on health certificates issued before May 30th. I'm just wondering if perhaps your Argentinean or U.S. business' exports into China, if this is an issue for you, and if so, do you have a view on – or an opinion on how this dispute would be resolved?
Lino Saputo, Jr.: While the dispute will be resolved through the different government bodies and again, we receive a lot of alerts from the – our association, which is the IDFA, so we are up to speed with what's going on there. In terms of the impact to us, it's insignificant. When you look at the amount of cheese that we were selling into China, not very material and that cheese was easily diverted into other countries. On the byproduct side, typically what we are selling on the feed production is not impacted by this. So again, even on our byproduct side, not a whole lot of material impact for us.
Peter Sklar – BMO: Right.
Lino Saputo, Jr.: And we'd like that the – we'd like the borders to be opened up between the U.S. and China, because it does give us more flexibility, but – I mean, in our case specifically, it doesn't have a material impact on us.
Peter Sklar – BMO: Are you concerned about the indirect effect that if the Chinese market is closed? Cheese is an international commodity and one arm of demand is being cut off and that could have a negative impact on cheese price, is that material?
Lino Saputo, Jr.: Well, it all depends on where you are sourcing that cheese from, you know, from our platform in Argentina or some other platform that we might be looking at around the world might be an opportunity. So all depends on the perspective, because the Chinese population will continue to consume dairy solids. It's a question of where they are getting those dairy solids from.
Peter Sklar – BMO: Right. Okay. On Neilson Dairy, I mean, you disclosed the closure of the Brampton plant, the consolidation strategy with respect to distribution. Does that mean that the larger aspects of the restructuring rationalization benefits related to Neilson Dairy are largely done now or are there more good things that could potentially come out of this?
Lino Saputo, Jr.: Well, understand that the Brampton closure and the consolidation of the warehouses have been announced, but not executed yet.
Peter Sklar – BMO: I understand, that's not in the numbers. Yes, I understand that.
Lino Saputo, Jr.: That's not in the numbers. So that will come probably by the fall, September, October, November-ish time frame.
Peter Sklar – BMO: Okay. But what is there beyond that or is that it?
Lino Saputo, Jr.: Well, I mean, I've said this before. It's not like we are running a race and we see the finish line. I mean, it's not a sprint, it’s a marathon. And once these opportunities have been materialized, then we will look at what the next best opportunities are. I believe that every time we turn over a stone, we find something new and I'm hopeful and optimistic and confident in the team that we have that ultimately, they will find other opportunities to derive more efficiency and more effectiveness out of the Canadian business.
Peter Sklar – BMO: Okay. And just one last question. I know I've asked you this before, but I'm just wondering if you would just go through it again. Looking at your business on a consolidate basis as you reported, do you feel there is seasonality in your reported results or is that kind of evening out now?
Lino Saputo, Jr.: It's pretty well evening out. I mean, if you look at consumption patterns as a whole, when and I look at not exclusive to one division or another, people eat every day of the week and whether they are eating at the restaurants or they are eating at home, they are still eating. We have the good fortune of being in a great industry, an industry that is producing healthy products that are staples in the diets of many consumers. And whether they travel abroad or stay at home, they are still eating, and we are fortunate enough again to be sitting on five different platforms around the world in a very good industry. So there really is very little volatility – or not volatility, but rather variability in terms of our seasonality within the business.
Peter Sklar – BMO: Right. Okay, thanks for your comments.
Lino Saputo, Jr.: Okay.
Operator: Our next question from the line of Mark Petrie, CIBC. You may proceed.
Mark Petrie – CIBC: Yes, I'm wondering if you could just quantify possibly the percentage of capacity increase that you see the capital projects in the U.S. being able to deliver.
Lino Saputo, Jr.: Well, the capital projects in the U.S. actually have been – on the cheese side, had been completed. And so we do have excess capacity within our U.S. operations, specifically with some of the newer facilities like the Waupun and the Peachtree [ph] plant. Waupun being Alto, Peachtree being the former Land O'Lakes. So there is some excess capacity, maybe in the range of 5%. On the whey side, we still have not ramped up the drier in the Midwest that we had talked about. So once that drier is up and running, we do have liquid whey that we would bring to the facility. So that plant will be running very, very close its capacity, somewhere around 98% of its capacity utilization and that's typically how you want to run a drying facility.
Mark Petrie – CIBC: Okay, thanks. And I know you touched on this regarding Argentina, but wondering if you could just clarify where you are running at capacity there and if there would be lead time to sort of ramping up that capacity.
Lino Saputo, Jr.: Argentina, again, the milk supply is a little more seasonal than you would find in North America, Canada, and the U.S. And so we can find ourselves certain times of the year running very close to our capacity, close to our about 97%, 98%. In the down season, we might find ourselves running somewhere around 90% of capacity utilization. If there would be a requirement for us to increase capacity, usually a project would run us in the range of about 12 to 18 months, depending how big the project is, but it is very doable.
Mark Petrie – CIBC: Okay, thanks. And just one more question. I guess on the fluid milk side, I mean, is that a business that you would only be interested in participating within a regulated market or do you see opportunities for that in other geographies?
Lino Saputo, Jr.: There are opportunities in other geographies. But again, the economics have to make sense. If I look at what's going on in the U.S., you've got one major player with a lion's share of the market. Unless we were equivalent in size, it would almost be – well, it would be very difficult to compete. And again, having said that, I think there still is quite a bit of opportunity for us to grow our base of operations on the cheese side. So that is really where our focus is. If I look at the Argentinean market, the economics really don't make sense to be in the fluid milk, not because we don't have the expertise, but because of the way that the milk is priced and the government interaction on fluid milk, it's really not a market we want to be in. So again, I wouldn't say that we would exclude it altogether, but the economics really would have to make sense for us to get into fluid milks outside of Canada.
Mark Petrie – CIBC: Okay. Thank you very much.
Lino Saputo, Jr.: All right.
Operator: (Operator Instructions) We have a follow-up question from the line of Mr. Michael Van Aelst with TD Newcrest. You may proceed, sir.
Michael Van Aelst – TD Newcrest: All right. On the U.S. profitability, it was down about 8 million Canadian dollars from Q3 and down a little bit versus Q2. So can you – you talked in your press release a lot about the year-over-year trends. Can you talk a little bit about the trend – the different profitability trends from Q3 to Q4?
Louis-Philippe Carrière: Certainly. The – I would say the – probably, the major impact would be related especially to market factor, more related to inventory realization.
Michael Van Aelst – TD Newcrest: And that's because the cheese price decreased as the quarter went on?
Louis-Philippe Carrière: Yes.
Michael Van Aelst – TD Newcrest: And then –
Louis-Philippe Carrière: To – Mike, to answer your question, it's a 2.6 million Canadian dollars impairment that you are going to find out into the depreciation and amortization expense of the fourth quarter.
Michael Van Aelst – TD Newcrest: Okay. So that's –
Louis-Philippe Carrière: In relation to the announcement of the Brampton closure.
Michael Van Aelst – TD Newcrest: And that is all in addition to what you said was the EBITDA impact, right?
Louis-Philippe Carrière: Yes.
Michael Van Aelst – TD Newcrest: Okay. So going back to Argentina, with the higher cost of raw milk that you are seeing in those markets, does that make certain products less attractive in the export market for you?
Lino Saputo, Jr.: Well, it's all in function of what the export market pricing is. Right now, they are quite strong, whereas, I believe it might have been three quarters ago, the pricing in the international markets were a lot weaker. So it's all in relation to what the international cheese and butter prices are, which right now is quite favorable.
Michael Van Aelst – TD Newcrest: Okay. And then in Canada, with the volume drop that you mentioned, is there any change in your market share in Canada or is it pretty much stable on a primary –?
Lino Saputo, Jr.: Yes, it's pretty stable. I mean, we – it's not like we have lost a great amount of volume. There has been shifts from, I guess, commodity to specialty-oriented products. But no, we haven't really lost any market share.
Michael Van Aelst – TD Newcrest: Okay. And I guess finally I'll ask on it, even though it's small, the Vachon side. It seems like you are making some progress on the margins, which is good, but now you are talking about bringing Vachon cakes into the U.S. and you've tried this before and it didn’t really work. So what's different this time around? Is it the formula; is it the distribution, what's – what makes you think –?
Lino Saputo, Jr.: Yes, it's a different approach to distribution and branding. Again, there are some consumers up and down the East Coast that recognize the products. We are looking at a different method to get products to the shelves, which we believe would be more efficient. And that's where we think there might be some opportunity.
Michael Van Aelst – TD Newcrest: Can you give us any kind of comfort that it – on that like what that – any details?
Lino Saputo, Jr.: Not more than what I've told you, Michael.
Michael Van Aelst – TD Newcrest: Okay. Does the product have a longer shelf life now than it did before?
Lino Saputo, Jr.: It does, yes. And that's also one of the benefits that we have with the introduction of new processes that Lionel has brought to the division.
Michael Van Aelst – TD Newcrest: And the other products that Lionel has brought in, like Igor and the frozen desserts, how are those doing?
Lino Saputo, Jr.: They are doing relatively well, given that they are new categories and new products with different traffic patterns. One of the things that's important for that division is that we branch out into other categories and – that allow us to have different set of consumers for different types of consumption patterns. The Igor line of products is geared mostly to moms who have small children and convenience and healthy products. And the frozen products are really geared towards the household as opposed to someone who is on the road picking up a snack cake.
Michael Van Aelst – TD Newcrest: Right. And LP, the tax rate, can you give us any indication for next year? It was a little lower in the fourth quarter.
Louis-Philippe Carrière: It was a little bit lower in the fourth quarter. I would say, I can't figure out – probably 30% for next year? Again, again with the limitation or I would say the (inaudible) that again it's related to the geography of our earning that we are going to get. But I would say assumption is 30% would be okay.
Michael Van Aelst – TD Newcrest: Perfect. Thanks, guys.
Lino Saputo, Jr.: All right.
Operator: Our next question is from the line of Jim Durran, National Bank Financial. You may proceed.
Jim Durran – National Bank Financial: Hi, just two more questions. Just first of all on Australia, there has been an expression on your part of having interest in Australia and New Zealand as potential places to be, given the reliability of the milk source there. The Australian government and secondarily, the competition there obviously have been making some comments about their opposition to further consolidation in the Australian market. Would that preclude you from having as much interest in Australia as a place to go if you couldn't move in, buy something and then build upon it through acquisition?
Lino Saputo, Jr.: Well, Australia is still on our radar screen. We've talked about Australia now going on probably five to seven years. It still is a very interesting platform for us only because of the milk pricing based on international market factors, as well as – someone brought up a point about bilateral agreements. There are some favorable bilateral agreements in Australia that make it a lot easier to trade dairy products and dairy solids. So Australia still is very attractive for us. I think the reference to the opposition on the consolidation is related to more antitrust type discussions, which really are nowhere near where we are, because we don't have any assets out there. So it's – it would not discourage us from considering a platform in Australia.
Jim Durran – National Bank Financial: Okay. And then separately just a housekeeping question. As part of your year-end disclosure, you provide typically Argentina sales and European sales. Could you possibly give that to us right now or do we have to wait for the filing?
Louis-Philippe Carrière: Well, I can give it to you right now. Just give me a second. Argentina and Europe whole combined revenue, about 304 million Canadian dollars for the year.
Jim Durran – National Bank Financial: Okay. Thanks, LP.
Louis-Philippe Carrière: You're welcome.
Operator: And Mr. Saputo, we have no further questions at this time, sir. You may continue with your presentation or closing remarks.
Lino Saputo, Jr.: Thank you very much. (inaudible)?
Unidentified Company Speaker: Thank you everyone for taking part in this conference call. We invite you to join us for the presentation of our fiscal 2011 first quarter results in August. Thanks and have a nice day.
Lino Saputo, Jr.: Thank you.
Operator: And ladies and gentlemen, this does conclude the conference call for today. We thank you all for your participation and kindly ask that you please disconnect your lines. Have a great day, everyone.